Patrik Stenberg: Good morning and welcome to this conference call. This call will cover three parts. First, we will start with the presentation on the fourth quarter results as usual. We will follow on by a presentation on our new and updated strategy. After that, we will have a joint Q&A session, which will be live where you can put your questions either through the phone or by using the chat function in the channel. As usual, Rickard will start the presentation, and Niclas will follow on afterwards. So with that very brief introduction, I'll leave the word and the controls to Rickard, please?
Rickard Gustafson: Thank you very much, Patrik, and good morning, everyone. Starting by looking at the full year of 2021. It was a very strong year for SKF with solid growth and improved margins. The performance in the first half of the year was especially strong, while the second half saw challenges in the form of supply chain constraints and cost inflation. In this very dynamic environment, SKF managed to deliver a strong set of numbers, 13% organic growth, SEK10.8 billion in adjusted operating profit and an operating margin of 13.3%. None of this would, of course, been possible without an enormous contribution from all the people of SKF. And I would like to express my sincere appreciation to all my colleagues around the world for a job well done. The Board of Directors is proposing to increase the dividend to SEK7 per share, of course, subject to AGM approval. Now let's move on and take a look at the fourth quarter. Net sales for the quarter came in at SEK21 billion compared to SEK19.6 billion in the same quarter last year, representing an organic growth rate of approximately 4%. Our Industrial business saw very strong demand across most industries, with organic growth of 9%. As expected, our automotive business continued to experience volatile demand environment with organic sales down by 8%. The adjusted operating profit was SEK2.3 billion compared to SEK2.6 billion in the fourth quarter last year, and the adjusted operating margin was 10.8% versus 13.2% last year. Our results continue to be impacted by significant cost inflation, which totaled roughly SEK1.7 billion in the quarter, of which approximately SEK700 million was compensated for. Naturally, we are not satisfied with the negative margin development and we have initiated additional broad-based pricing initiatives to protect our earnings and future investments. And it goes without saying that we're also continuing to drive cost efficiency measures across all parts of our business. Cash flow generation in the quarter was just north of SEK800 million compared to SEK1.9 billion in the same quarter last year. The low cash flow level is due to the increased inventories caused by logistic constraints, a volatile demand in automotive and the general cost inflation. Nevertheless, the Q4 cash flow generation is significantly below what we have historically generated and mitigating actions have been initiated. But all in all, continued strong sales momentum with industrial and a relatively strong automotive performance given the rough circumstances -- when breaking down our revenues growth by region. You can see on this chart that EMEA is still our largest market, representing some 41% of sales, followed by Asia Pacific, about 32%; North America, our Americas, about 90% and Latin America at approximately 8%. Industrial demand was strong across all regions with double-digit growth in Europe and Latin America, followed by high single-digit growth in Asia and North America. As I mentioned before, the automotive business continued to experience some challenges, especially driven by the OEM business, where we saw a -- and saw a negative growth rate across all regions. However, the gradual improvement during the quarter, saw the automotive business coming out of the fourth quarter with a somewhat positive trajectory. It's also worth noting that the vehicle aftermarket has remained strong and growing well in all our geographies. Starting with our Industrial segment, which you're aware represents some 70% of our sales and 90% of our profits. As I already stated, the industrial demand is currently very robust delivered organic growth of 9% in the fourth quarter and net sales were just north of SEK15 billion. Sales in almost all Industrial segments saw strong growth rates like industrial drives, off-highway, railway, food and beverage, marine and industrial distribution, while only aerospace and energy experienced sales level at a lower rate than last year. From a results point of view, the Industrial business delivered an operating profit of SEK2 billion and a margin of 13.5% compared to 14.6% last year. The result was affected by increased cost inflation in materials, logistics and also at the end of the quarter from energy. Naturally, we are not satisfied with the margin development and we'll continue to use all possible levers to mitigate the cost inflation as we move into 2022. On a more positive note, though, we also noted several customer wins in the quarter, including a bearing maintenance contract with a large rail operator in Latin America. From a sustainable point of view, it's encouraging to see the growing demand for our remanufacturing capabilities and services. As more and more customers strive to reduce their CO2 emissions, our remanufacturing offer is also growing in attractiveness. It not only helps to reduce emissions by approximately 90% compared to buying new bearings, but it also provides additional value in form of reduced lead times, especially for larger bearings. As an illustration, the maintenance contract that just mentioned with this large rail operator in Latin America includes remanufacturing, new products, technical support and knowledge transfer, all of this enabling SKF to provide value across all these dimensions. Another important enabler to capture growth in this segment is being close to our customers. Therefore, we continue to invest in developing our manufacturing capabilities across all regions. As part of our SEK5 billion world-class manufacturing program, we have inaugurated the second phase of the Xinchang factory ahead of schedule in the quarter. The Xinchang factory produces bearing variants for electric vehicles, industrial high-speed applications. With the Xinchang extension is up and running, we are not only enhancing delivery capabilities to our Asian markets, but also improved availability for many customers globally. Furthermore, we have also installed our RecondOil solution in this factory and thereby improving the overall quality of our products. And speaking about RecondOil, we are continuing the high pace RecondOil rollout in our own factories as planned. The external launch is in early phase still, but the first contracts are signed with customers within industries such as paper, mining and steel industries. Turning to the Automotive business, representing some 30% of our sales and 10% of our profits. As expected, our automotive business continued to experience a volatile demand driven by logistic bottlenecks and component shortages among OEM customers globally. On the other hand, our vehicle aftermarket business saw continued demand across all regions. All in all, and despite significant challenges and organic sales down by 8%, the Automotive business delivered an adjusted operating margin of almost 4%, in part due to the mitigating actions that we announced and initiated the previous quarter. But also within Automotive, we had some good new customer wins in the quarter, a new SUV platform contract with a major OEM in North America being a prime example. And it's also very satisfying to note a sharp increase in demand for components to electrical vehicles, especially in Asia, up some 180% versus Q4 last year. In general, our electrical vehicle related sales to traditional OEMs tripled in the quarter, demonstrating our strong footprint and value add in this growing part of the automotive industry. So, let me now hand over to Niclas to provide you with some more details into our numbers. Niclas, over to you.
Niclas Rosenlew: Thank you, Rickard. If we then move on to some further details about the financials in the quarter. So as Rickard mentioned, we had a very solid demand for our products and services in Q4. Our sales grew both sequentially and compared to last year. Compared to last year, the net sales increased by 7.2%, and the organic sales increased by 3.8%. The currency effect was positive. The currency effect on sales specifically was positive with the largest effect coming from the dollar, the euro and the Brazilian real. So all in all, strong demand and we could likely -- actually have had even more sales if -- if it wasn't for the supply chain issues and bottlenecks in production. In this volatile environment with constrained supply chain and bottlenecks in production, we are pleased to say that we managed to serve most of our customers very well as we continue to strengthen our position in the market. In Q4, we continued to experience a significant cost inflation coming from, for instance, raw materials, components, transports and lately also energy. The cost inflation affected our adjusted operating profit, which was SEK2.3 billion or a margin of 10.8%. We do expect the cost inflation to continue and we are taking further actions to mitigate it, including further price increases. So let's take a closer look at the profit drivers. Overall, it was affected -- the profits were affected by high cost inflation and supply chain bottlenecks, partially offset by our actions with driving price and mix. If we go through it step by step in the bridge. Firstly, currency impact was negative at SEK26 million compared to last year. Our organic sales and manufacturing volumes contributed on the other hand, with a positive, roughly SEK1 billion and approximately SEK700 million of this SEK1 billion was driven by price/mix, positive price/mix. We continue to increase prices, and we remain confident that we can mitigate current cost inflation during 2022. What comes to cost inflation, we saw continued headwinds from increased prices and materials, components and logistics, and this amounted to roughly SEK1.7 billion compared to last year. Cost development continued to be good and costs were SEK361 million lower than last year. So to sum up, our operating profit was SEK2.3 billion, with a 10.8% margin affected by significant headwinds from increased inflation. Moving on to cash flow. We generated a cash flow of SEK823 million in the fourth quarter compared to SEK1.9 billion last year. The cash flow in the quarter includes approximately SEK700 million in proceeds from a sale of real estate. And if I summarize the decrease in cash flow compared to last year, it is primarily driven by higher inventories. Compared to Q4 last year, our inventories increased by a net of approximately SEK2 billion. So last year, in Q4, it went down by approximately SEK800 million. And this year, it went up by approximately SEK1.3 billion in Q4. If I comment on the inventory increase and give you some further details. So firstly, as some automotive customers have adjusted their productions -- or production levels at very short notice. This has led us to have a higher-than-normal inventory in automotive. Secondly, we've been impacted by logistics disruption across the value chain. So this is, for instance, longer lead times or component mismatch. Net working capital in percentage of annual sales was 30.7%, and this was compared to last year's 26.1% million. And again, this was driven by the temporary increase in inventories. Return on capital employed was 14.9% for the last 12 months. This is a slight decrease, again, due to temporary increase in inventories. And we do expect the elevated inventory levels to reverse when supply chain squeeze or the supply chain space improves, and we take further actions. Our balance sheet and liquidity position is very, very strong. Our net financial debt 0amounted to SEK2.9 billion, and the net debt to equity ratio, excluding pensions, was 12.5% at the end of the quarter. This strong balance sheet will support our clean and intelligent growth strategy, as announced earlier today and as we will hear more about soon. With that, handing back to you, Rickard.
Rickard Gustafson: Thank you, Niclas. And to summarize, the fourth quarter saw continued strong growth within the industrial business. However, profitability was affected by significant headwinds from cost inflation. The automotive business was continuously challenged by customer close downs. As a group, we report an adjusted operating profit of SEK2.3 billion compared to SEK2.6 billion last year and a margin at 10.8%. In the full year perspective, 2021 was a strong year for SKF with solid growth and strong operating margins. Performance in the first half of the year was especially satisfying while the second half of the year drove increased challenges in the form of supply chain constraints and cost inflation. In this slide, we are pleased to report the continued good progress in our SEK5 billion world-class manufacturing program. And as promised last quarter, we can now confirm that we have closed 12 sites since 2019 according to our plan. And as I mentioned in the beginning of this presentation, the Board of Directors proposed a dividend of SEK7 per share. Turning to the outlook. Looking into the first quarter, we expect continued solid demand across our industrial business and continued supply chain challenges among our automotive customers. Furthermore, we also expect inflationary environment to continue to be challenging and require broad actions. We estimate a low single-digit organic sales growth for the first quarter 2022 compared with the same quarter last year. Industrial is expected to grow, while Automotive is expected to decline. This time, we will also provide you with the full year guidance. For the full year 2022, we expect organic growth in the range of 5% to 10% versus last year. And that concludes the formal quarter presentation, and it's now time to turn our efforts toward more forward-looking. And I'm delighted to start to share with you our views on the strategic framework that we just had published as well. Well, as you know, we have worked hard within the five -- last five to six months to really do a holistic view of our business, assessing growth opportunities and also their full potential of our business. A wide range of skilled and dedicated colleagues of mine have been involved in this work, providing input and insights to how we see our future. And I'm actually delighted to stand here today to share the outcome of this rather comprehensive review that we have conducted within SKF. As a starting point, I'd like to stress that we identified that we have a very, very strong starting position. We have something unique something that very few other industrials players have, and that is a unique insight and knowledge in almost all industrial applications. And why is that? Well, you can see this on this chart in this quote here that everywhere, there is rotation. There is a good chance that SKF products, capabilities and skilled colleagues are providing value in form of improved operational performance and reduced emissions. Our ability to navigate and provide customer value across a number of dimensions, geographical, industrial, technological, that's our core strength and our key assets. This is something that I want to build upon as we move forward. Also, we see that the key megatrends that are sweeping across the globe are really impacting our customers, providing new opportunities for our customers that we can leverage and grow hand-in-hand with our customers. To illustrate that, I'd like to share a few quotes and examples from some of our customers. Starting with the whole thing about sustainability, which is, of course, is something that all industrial companies are working hard to find solutions around, not only to do what's right for the planet, but also to really identify additional growth opportunities and business opportunities. And in this context, our products, our services, our knowledge is really a key enabler for them to unlock their future sustainable achievements. And as you can see, this is something that we have a quote from ABB really reinforcing that message. When it comes to digitalization, when we have the chance to really combine our hardware and software capabilities, we can provide tangible and real value to our customers in a broad range of industries. And here, you have one quote supporting that statement from Suzano. And finally, when it comes to electrification, of course, this is really changing the dynamics of many industries and automotive in particular. Here, we have a fantastic strong position and key capabilities and skills to help the OEMs to make their transition towards more electrification of their production and their products. And of course, we're going to support our customers here as you can see and expected from many of our OEMs. And this is quote from BYD supporting that statement. So I sum it all up and reflecting our starting point in 2022, we are fairly forward-leaning and optimistic. We believe that we have -- we are trusted. We have deep knowledge and experience around the rotating shaft. We have a broad installed customer base and knowledge base, and we are a leader in many different applications. We are well tuned into the key megatrends that are sweeping across the globe, as I just explained. We are used to collaborate with our customers to identify technology solutions and value-adds that could help our customers to grow and also further enhance their sustainability footprint. And we are competitive. We are the leading player in the bearing industry, and we have demonstrated our ability in the last two years to constantly take market share in a highly competitive market. All of this makes a great starting point to further accelerate and be more ambitious on our future growth agenda. And we have identified a strategic framework for 2030 that we call Intelligent and Clean Growth. And by executing on this framework, we will be a different company by 2030 than what we are today. But before I go into the details there, let me share some insights what I mean when I say intelligent and clean growth. Intelligent, it's really to use insights and data and engage with our customers to define and develop new products and services and capabilities. It's using analytics and rigor in our portfolio management activities, making sure that with through digital digitalization of entire value chain, create transparency so we can manage our own processes and manufacturing capabilities even more effectively. And of course, it will require rigor and analysis in terms of resource allocation, both in terms of terms of capital and also our people. Clean, it's all about the -- our ability to develop solutions that can unlock sustainable solutions for our customers and also enter into new industries. But it's also to make sure that we use our current technology stack, and our know-how and capabilities to help our customers across numerous industries to minimize friction and waste. It's about digitizing our value chain and really drive towards a net 0 emission and clear transparency on our journey to get there. And of course, it goes without saying that we always conduct our business with higher ethics and great business practices. So successful execution on this intelligent and clean growth framework will lead to different SKF by 2030. By 2030, we strive to double our business at improved margins. By 2030, we'll be more focused and efficient. By 2030, we will be the technical partner of choice among our customers, and we will lead development towards sustainable solutions. So we believe this is an exciting future for the company and a clear framework on how to move this forward. What is clear, this growth and these high ambition of ours will also require investments. And we are prepared to continue to invest in our supply chain, in our manufacturing footprint and also further increase our efforts in R&D to really focus our efforts on highly interesting growth opportunities, supporting our customers in this drive towards a more sustainable future and the other megatrends. In this work that we have conducted, we have also identified opportunities to actually fund these additional investments through improved net working capital capabilities and also continued cost reductions. But let me now give you some more flavor to what do we really mean? And what are the components of this strategic framework. The framework is actually illustrated by this slide here, this picture here, where you see the cube that I referred to in the beginning, where we will see that we're going to really explore growth opportunities in high interesting segments where we can add true value to our customers and grow hand-in-hand with them. It's about really deploying our R&D capabilities and deploy new technology to help customers grow and unlock new industries. It's about putting either further emphasis on our services and aftermarket capabilities, and it's also to constantly manage this wide range of opportunities in this broad portfolio of ours in the best possible way. But to grow and to deliver on these high growth objectives in these four quadrants, it will also require some key enablers and that we are flawless in our execution on those enablers. It relates to what I already touched upon R&D capabilities and technological development. It's about really digitizing our full value chain end-to-end. It's about continuing our stride towards a more balanced regional footprint and strong supply chains in all of our regions. And it would require a different operating structure internally, taking us working closer to our customers. Let me now take you through all of these blocks of our strategic framework at a high level to give you some flavor of what really mean by this. And I start by the growth areas. In our efforts and our analysis, we identified a number of highly interesting growth areas such as high-speed machinery, electrical drives, clean tech, automation and robotics, agriculture, food and beverage, to mention a few. All of these are defined by the fact that it represents significant growth opportunities for their industries and that it would require a partner that can provide high value adds and technology edge in their stride to grow. And as we have identified and looked into this and our capabilities, we realized that we are well positioned to support customers in all of these areas by having a know-how, the relationships, the technology and the capabilities to really help them grow and thereby, we can grow hand-in-hand with them. When it comes to new technologies, it's all about focusing on areas where we believe that can make a big impact to really help customers in their stride and also, as I mentioned, unlock some new industries. Connectivity is key and will continue to be key where we can combine our hardware and software capabilities to provide data and transparency on machine performance and up-type [ph] capabilities that is important for our customers, something we continue to develop. Ceramic bearings is another very, very interesting area. It's required to really cope with high-speed solutions that becomes more and more in need from our customers. Also when we move into electrification and the high voltages, there will be problems with straight currents and ceramic bearings is a key answer to solve that problem. Here, we have a leading competence and edge already and we like to further investigate that further investor to help customers grow. Another exciting areas, our magnetic bearings, a unique competence to SKF, where this technology can really help to unlock some future industries, such as hydrogen and carbon capture. We want to leverage our leading position here and really move forward together with a number of our customers. And finally, I'd like to touch on RecondOil. Our customers, they all strive towards a more sustainable future. And when -- if we can provide them with a solution to reuse their oils and lubrication and at the same time, improve uptime and performance and quality in their operations, we believe that that's a winning concept that can really sprout -- generate further growth. Moving over to service and aftermarket. In this broad definition, it's already a sizable part of our business, some 40% of our sales. But here, we have seen that by really focused some of it and align it with the customer needs, there are room for further growth opportunities. We have put some further emphasis on more traditional transactional services, which quite honestly has been maybe less focus in SKF in the last two years. We're going to continue to scale up our capabilities to capture data and create transparency around data and provide that information to our customers. We're going to do that by also working closely with new and additional partners to make this whole more scalable as we move forward. As I mentioned, customers, they really strive towards a more sustainable future. And if we can combine our capabilities related to condition monitoring, remanufacturing and engineering and design, of course, we can make an impact and help customers there to take advantage of that. And finally, for certain industries, it's really important for our customers to ensure reliability and uptime in their production capabilities. And here, we will continue to discuss performance-based contracts to support customers in their strides to make their operations as efficient as possible. And the final dimension of growth is portfolio management. And this is something that we're going to apply across all parts of our business, of course, to really assess and dare to make the bold decisions, prioritize those parts of our portfolio that truly provides the best opportunities and also the best margins. And dare to make decisions on those that are not really contributing or rather dragging the overall performance of the portfolio down. Those we either need to fix or trim out of the portfolio. As part of this, we will also create a more autonomous and independent automotive business to enable also future strategic flexibility for the group. And I will come back to that shortly. But this focus on portfolio management really applies to Automotive. And that's an area where we're really going to start because we have identified that there are ways how we can reshape the portfolio within our Automotive business to ensure that we capture growth in exciting areas and also that we dare to make some bold decisions on parts of the portfolio that does not really deliver the value that we're looking for or we have a clear value-add to our customers. We have five levers that we're going to work on, three of them are related to growth capabilities and two are more related to refocus and rebuild. Starting with the first one related to electrification. Of course, this is a massive shift within our OEM customers, where they're putting most of their emphasis and investment money towards electrification of their vehicles. And here, we have a unique position and a clear opportunity to further accelerate growth, and that's what we're going to go after. In commercial vehicles, we are already today a clear number one in the market with unique competence and capabilities to support our customers globally. And here, we see additional growth opportunities, especially in the Asian market. When it comes to the aftermarket, here we are number two. We have seen in the past that it's really a growing area. We have developed our distribution capabilities and also added more components to our portfolio that has had a good impact in the market and we've seen solid growth. We believe there are opportunities to further accelerate this growth. And if we grew the aftermarket business, that also enabled us to somewhat compensate for a more volatile OEM business. But as I mentioned, we also need to refocus. And when it comes to services, capabilities and products, especially related to combustion engine vehicles. we need to rethink. We need to make sure that we're focused on those customers, those opportunities where we have a clear leading edge and clear value add to our customers. And there, maybe to think differently about some other parts of that part of our component of portfolio. And finally, a smallest piece of this automotive portfolio is related to drive controls. And within this framework, there's a subset where we call suspension bearings, where we are the clear leader in the market and suspension bearings are highly interesting in the long-term trend towards more autonomous driving. And therefore, we believe that, that also deserves some further investments and focus as we move forward. So, I hope that gives you a flavor on how we see where the growth is going to be coming from and how we will start to focus our efforts to really capture the most interesting growth opportunities. But as I mentioned in the beginning, to make this happen to really execute on this, we need to be flawless on some of these growth enablers. And I'd like to also share some insights on each one of these four with you today and starting with technology. Again, when we look into our business and referring back to this artificial cube of ours, we realized that the growth that we're after to some 75% will actually come from existing products delivered to existing customers and new customers. But a significant chunk, some 25% of the future growth needs to come from new products to existing customers and new customers. And here we need to align our efforts to really ensure that we prioritize that -- those initiatives that we believe have the highest possible growth rate and potential. We're going to focus on high-speed applications. We will focus on clean tech. We will focus on sustainability solutions, but we will also focus in areas to how to enhance our own manufacturing capabilities to constantly drive our productivity and effectiveness within our own footprint. All in all, we believe that we need to step up investments in this area and over time, increase our R&D spend with some 50%. But to bring this to live a little bit, I'd like to share with you a few examples of some real and tangible projects and products that we are working on that is about to hit the market. Starting with the new high-speed bearing, something that we have developed that is to meet the extreme need for -- speed within electrical drives and some compressor and pump applications. When it comes to connected products, we have started to embed sensors into the bearings and thereby really combining our hardware and software capabilities to ensure instant feedback and control over the application. Of course, this is of high value to a number of our customers across numerous industries. Within food and beverage, they have extreme requirements on hygiene, of course, -- and here, we have developed a new solution that is really tailored to support this industry to enable them to further enhance and improve their operations and providing thereby growth opportunities for us. And when it comes to our own manufacturing, we are right now exploring some new exciting technology related to heat treatment or induction heat treatment and also something called Laser Cladding. Laser Cladding, for example, really helps increase our capabilities in remanufacturing of bearings. And here, we have recently acquired a specialist company with some unique skills in this field that we acquired just a few weeks back. So we have -- this is just a few examples of some of the tangible things that we're working on that will truly support our focus and efforts as we move forward. Talking about digitalization and the value chain. This is absolutely vital. We need to connect our entire value chain end-to-end through digital technology. This, of course, to support our customers, but also to make it easier to do business with us. It's also important from an internal point of view that it creates transparency and overview our own capabilities throughout the entire manufacturing footprint and supply chain to ensure that we can take the right decisions and informed decisions on how to further improve our capabilities. A lot of work has already got into this within SKF, but it's still a lot of work still remains to be done. And this is going to be a key focus areas for us in the next few years. When it comes to our regional footprint and supply chain, here, we're going to continue the journey that we already started. It fits well into our strategic framework and we need to continue to put big emphasis and focus on this. To give you a flavor, what we're aiming for here is that by 2025, we want to make sure that we invest in our localization rate and building up supply chain in the Americas so that we can move our localization rate from 40% today to around 60% by 2025. For EMEA, it's not so much about adding more capacity, but rather how do we automate and increase further efficiencies and some consolidation within our European or EMEA footprint. For Asia, if we see significant growth going forward, we need to build out our capacity in Asia to support that growth, and we need to continue to enhance our localization rate. And there we have big ambitions to lift it from roughly 6% today to north of 85% by 2025. These are important and as I mentioned, will require investments as we move forward. And finally, on a more internal view on how we organize ourselves and how we see our evolution of our organizational structure. Today, if we look into our value chain, actually, ownership and accountability for the value chain is divided among some regional capabilities and also central functions. We want to move away from that and to a situation where we have clearly defined business areas with a full end-to-end ownership of the full value chain. That's a shift that we want to try to do in the next few years and starting already today. This will mean that we will going to create a number of business areas within SKF, starting with four main industrial geographical regions with Americas, EMEA and then we're splitting Asian two into India and Southeast Asia and China and Northeast Asia. And the reason for this is that we want to put enough emphasis and focus on those highly attractive growth markets, both in India and Southeast Asia as well as in China and Northeast Asia. We're going to continue to have six independent business areas that will be managed under one umbrella. The difference is that they will all have full responsibility for their supply chain for each and every one of these six business units. And finally, we are also creating a more autonomous automotive business to make sure that they have what it's needed to drive their business forward, really focus on this portfolio shift that I just described and create the over time, some additional strategic flexibility for the group. And I'm delighted today to also share with you the team that I have that will deliver on this exciting journey that we're about to embark upon. And on this chart, you see my team. You see the faces of the people that's going to join up is the group management of SKF. There are some familiar faces and there are some new phases. And let me quickly share with you just introduce them very, very briefly. Starting with John. John is leading our Americas business today, he will continue in that capacity albeit he will have a broad responsibility for entire value chain. Kent, he's running our operations today, and he will move into a new position, take full accountability for the business area, EMEA. Manish is running our Indian business today. He will step up into group management and take on a somewhat broader responsibility and had the business area India and Southeast Asia. Patrik is running Asia today. He will remain in the large part of that capacity with the main focus on the business area, China and Northeast Asia. David is an internal recruit, he is now elevated up into group management and he is going to lead the exciting transformation of the Automotive business area. Thomas, he is today controlling and managing the portfolio of independent business units and business areas will continue in that capacity, albeit again with broad responsibility for the entire value chain. Joachim is an external hire that I'm delighted to announce that I'm going to join us in just a few days by mid-February, and he's going to take lead of this very, very important part that we call operation and digital transformation that I hope explains how that fits into our strategic framework. Victoria will remain as our CQ and continue to drive our R&D capabilities as we move forward. And then we have some important and lean enabling functions where Niclas will continue in his capacity as CFO, Mattias as our Legal Counsel; and Ann-Sofie to lead our people agenda globally. We are excited about this intelligent and clean growth framework. We believe that we have clear opportunities to really accelerate our impact to our customers and thereby also grow our business as we move forward. And to end and to summarize, I'd like to end where I started to say by a successful execution on this strategic framework, SKF will be a different company by 2030. We're going to strive to double the business at improved margins. We will be more focused and efficient. We will be the technical partner of choice among our customers and we will lead the development of sustainable solutions. I find this highly excited and I'm really, really pleased and honored that I have a chance to be part of this exciting journey that SKF is now about to embark upon. So with that, I thank you for be -- taking part of this and I think it's time to pause and then also open up for Q&A.
Operator: [Operator Instructions] If you on your telephone keypad now -- our first question today comes from Daniela Costa from GS.
Daniela Costa: I have put a few questions on the webcast, but I'll ask [ph] just three for now. The first thing regarding sort of you're doubling the size by 2030, and you talk a lot about the organic levers. But can you tell us a little bit about how much M&A is part of that journey given, I guess, the CAGR to doubling in eight years is quite high in terms of top line? And then -- the second thing also on the strategic review regarding sort of moving more of the business to Asia. Is that sort of more mapping what you think the revenue mix will be in the longer run? Or there is more like serving the rest of the world also with Asia? Because I guess the question comes on the back of a lot of companies this year saw a lot of disruption because of having moved maybe a bit too much to Asia, so wondering the thinking there. And then on the shorter-term things in terms of cash and obviously, the weak 1Q in terms of all the goods-in-transit, how fast do you think the -- is that a reversal already into Q2? And how can you mitigate basically also going forward? What has been a pretty volatile cash flow profile over the last few quarters? Is that sort of something you're looking into? Thank you very much.
Rickard Gustafson: Thank you, Daniela. And I'll try to answer your two first questions, and then Niclas will address the third one of your questions. Starting about the -- how much M&A is bought do we have in mind when we talk about double the size of our business. I'd like to, again, draw your attention that this is the long-term target for 2030 that we believe is that's what we're going to strive for. First here now, it's primarily a significant focus on organic growth. We really need to get our act together. We really need to accelerate growth. We need to start to implement these key enablers to get the traction going -- and as we mature, we will not roll out M&A, but it's something that will come later on. For now, it's primarily focused on organic growth. And then, as we have seen us do in the last few -- in the last year or so, some selective small additions to capture some key knowledge or technology, but any massive M&A activities in the near future is not part of this agenda. When it comes to your question on localization in Asia and how we perceive that's going to support global customers -- we believe that the growth rate in Asia is massive and we need to build up capacity to primarily support customers in that region. And at the same time, make sure that we build out capacity in North America to capture the need there in India to ensure that we have the relevant capacity there. And as I mentioned also in EMEA, invest to improve output and throughput and efficiency in our existing footprint. So it's not that we're building a lot of capacity that we plan to ship around the world going forward, but rather trying to be as close to our customers as possible. And then on the cash question, Niclas?
Niclas Rosenlew: Yes. Hi, Daniela. So in terms of the elevated inventory levels, as I mentioned, it's really two parts to it. One is automotive, where it's a bit more finished goods due to the nature of the business and call off by customers. And then on the other hand, it's, as you said, driven by goods-in-transit, which, again, the background to that is really the logistics situation out in the world, where finding transport is not always easy. It takes a long time, ports are congested and so on and so on. Then on to the question that when will this normalize, quite confident that it will normalize. But of course, it's very difficult to say. We do see maybe some not necessarily normalization, but it's not getting worse or it hasn't been getting worse. So that already is maybe a sign of things turning. And of course, in the meantime, we continue to work hard. We continue to mitigate. And over time, we are confident that this will normalize.
Daniela Costa: Thank you.
Operator: Our next question comes from Andre Kukhnin from Credit Suisse.
Andre Kukhnin: Good morning. Thank you very much for taking my questions. I'll stick to one strategy, one on the quarter. On strategy, you appear to be pointing to portfolio action coming when you talked about, especially automotive business and mentioned bold decisions to be made several times. Could you give us an idea on the time line of that? And why not already at this stage, having, as you said, taken five months of a lot of hard work to do a strategic review? And also just related to that, how does that chime with the doubling target? Should we think about kind of doubling off the base adjusted for any potential disposals. So that's the question on strategy. And I'll just put out the second one on quarter. If you could quantify, please, the manufacturing benefit from overproduction that potentially happened during Q4 for us, that would be great.
Rickard Gustafson: Right. I'll take the first one and then Niclas, you take the second one then. No, you're right. Of course, we're not flipping our hands and doing nothing as of today. What I'm trying to express here is that we need to have a more rigor in broadly in our business to really scrutinize our portfolio. Those things happen today, but not to the extent that we really need and with the rigor that's going to be required and also that we dare to take some decisions and prioritize some opportunities over others. And this is already ongoing within Automotive, we go spend some time really explaining that. But I think that it's a need for us to further accelerate those activities and really identify where we have identified the areas where we have some key capabilities, a leading position and where we believe that we can truly add significant value to our customers. Let's focus there and maybe deemphasize efforts on some areas where are more of a commodity. So that's the idea. And on the growth rate, I'm not going to be too specific there, but it's basically we say that including the portfolio trimming and all the activities, we have a stride towards doubling the size of our business by 2030.
Niclas Rosenlew: If I just add purely from a modeling perspective, I mean, 2021 is the base year. And then, of course, should there be events splits whatever we need to adjust for those. So that's purely from a modeling perspective. But as Rickard said, it's the ambition that really counts on the growth opportunities that we have identified and see out there in the market. Patrik, do you want to take the manufacturing?
Patrik Stenberg: Yes, of course. And as Niclas has mentioned, we did build some finished goods inventory throughout the quarter to an extent of about SEK160 million. While last year, we actually had a reduction of finished goods in uses of almost the same amount. So in terms of the bridge effect on EBIT, it's a net positive of about SEK50 million or so in the quarter year-over-year.
Andre Kukhnin: Thank you.
Operator: Our next question is from Mattias Holmberg from DNB.
Mattias Holmberg: I have to get back to your doubling by 2030. This implies it must grow by roughly 8% on average per year, which is quite considerably higher compared to what you've grown in the past. And I just want to understand the different drivers better. You had the slide where you walked through it quite nicely, roughly half from existing products and customers, 25% market share, I assume, and then 25% from new products. So am I right in translating this then that you expect roughly 4% underlying market growth, 2% growth from increased market share, roughly 2% from new products in order to double by 2030 or am I off somewhere?
Niclas Rosenlew: Well, I am -- Mattias, I understand why you asked those questions. But at this stage, I'm actually going to stay to my statement, not break it down in those details for you. We have a identified clear areas we believe that we can really step up our growth pace. That's what we're going to go after. And when we sum it all up and we will look into those opportunities and our position that we have today and where we want to take the company by also delivering on those enablers, we have identified an opportunity to double the size of our business, exactly how that breaks down into core growth, new products, new customers, all of that, we'll have to come back to that as we get going. For now, you have to trust us that this is a rather ambitious and forward-leaning agenda that we put out there today.
Mattias Holmberg: Okay, thank you.
Operator: Our next question is from James Moore at Redburn. Please go ahead.
James Moore: Yes. I've got a couple of questions. Thanks for the time. You talked about improved margins. Could you talk about what is sensible by 2030? Maybe we go one at a time?
Niclas Rosenlew: Well, I'm not going to give you a forecast or an outlook for our margin by 2030. But this whole strategic framework that we call intelligent and clean growth is about profitable growth. So we will not just grow for the sake of growing. We're going to grow where we also believe we can further improve our margins. So exactly how far that will take us. Again, I'm not a bit prepared to put some targets out there for 2030 at this stage, but it's profitable growth that we're going for.
James Moore: And two more, if I could. One on the organic outlook. I've heard what you've already said, but as somebody else has pointed out, it does imply 8% revenue growth per annum for the balance of this decade. And if it's predominantly organic, when your history has been closer to 1% to 2% and for years, SKF has hoped for more growth, and it's been the constant problem of the company. It is a massive acceleration. I guess my question is, if you can't break down the pieces, could you at least say what you think the market growth will be?
Rickard Gustafson: It's hard to predict what market growth will be until 2030. Again, we have really scrutinized this. We have looked intensely into these opportunities. We identified areas within our portfolio and future areas that we believe we are well positioned to capture. I'm not rolling out M&A activities. My point was that here and now, short term, we are more focused and get going and setting the direction of this strategic framework. And over time, we will also be more mature and be able to be more strategic in our M&A activities. So I'm not at all rolling out that M&A will also be a part of the journey until 2030. But here now, it's focused on get going and really capturing the growth opportunities more from an organical point of view.
James Moore: Thanks. And finally, if I could. I think sooner [indiscernible] look to splitting out Automotive. You talk about a more independent and autonomous Automotive business and you like the EV opportunity, and you're giving yourself optionality in the future if you wish to sell it to split it out. But I always felt in the past, the challenge was that in the majority of your factories, the production process is combined between industrial and automotive. How do you intend to disentangle that combined production footprint? Do you expect to get to a situation where they are separate sites and factories.
Rickard Gustafson: That will be an evolution as we move forward. You're right in what you say that our -- today, our Automotive business is highly integrated into our existing manufacturing footprint. I'd like to reinforce that automotive is an important part of our business. We do see a need to further strengthen its abilities to further be more strict in the -- how we apply capital and resources within the automotive portfolio, as I described, to really focus on those areas where we have a key strength. By doing this, we're starting to create a more autonomous business unit. And that's why I also say over time, it will create strategic flexibility for the group. Because there are some part of our factory that is fully dedicated to Automotive that is fairly easy to shift and create ownership for others will develop and evolve over time. So this is not an intention saying that we are prepared to do anything drastic with the automotive portfolio here and now, but it's good that we started a journey to create more flexibility in the future.
James Moore: Thank you. Thank you, Rickard.
Operator: Our next question comes from Erik Golrang from SEB. Please go ahead.
Erik Golrang: I have three questions. First one, you all talk about where you think margins will end up in 2030, but could you say something about midterm progression. There's quite a few investments attached to what you say here, should we think of margins potentially coming under pressure for some time before improving? Second question is on the balance sheet and also how you will fund investment. You talk of working capital as one source of funding for stepping up investments that also been an ambition for as long as I can remember, to improve working capital, but it hasn't resulted in much. And then also, as you think about the balance sheet in a larger context, especially if there's no larger M&A in there. And given where it sits, you don't see yourself as overcapitalized. And then the final question, coming back to portfolio management, where you're seeing very little, but you're implying quite a lot, it seems. Could you say sort of how big a part of the auto portfolio you consider to be underperforming today?
Rickard Gustafson: Thank you. All right, thank you, Erik. I'll try to answer your questions. I cannot give you an outlook for midterm here. But I'd like to remind you what we have said that we give an outlook for 2022, where we set out to grow our top line by 5% to 10% in 2022. So we have ambitions to embark on this growth journey already this year. Of course, there are a lot of uncertainties in the world and no one knows really what's going to happen. But at least as with the knowledge that we have here now, that's what we're aiming for. And that's why we give you that outlook for 2022. I know it comes to the -- how to fund this, these additional investments, and you point to the you've heard us talk about the improvement in net working capital for a number of years. And I'd like, again, to reinforce that -- we are doing something that is rather different now than what maybe we have done in the past. This evolving organization that I described really puts the full emphasis on the business areas, meaning that they have full P&L and balance sheet responsibility. So all of a sudden, we have more clarity and accountability on driving improvements in our net working capital than maybe that we have had the capability to do before; so that's one area. It also requires that we have -- really, while doing this rather intensive homework in the last five to six months, identified areas where we see that we can step up activities to further improve both net working capital but also to drive additional cost efficiencies. And again, this new organizational structure of ours, I'm sure will also when we reset and when we build those teams that's going to be -- make up all these business units, there will be cost efficiency coming out of that as well. So we've done a rather expensive homework there. We have done our math and we believe that we see a path towards that we actually can fund this journey that we're about to embark upon. And maybe on the balance sheet question, do you want to take that, Niclas?
Niclas Rosenlew: Sure, sure. So Erik, just to add to the midterm, I mean, you do know we have our kind of targets out there with 14% EBIT, 16% return on capital employed and so on and so on. And we are by no means abandoning those. So those will stay firmly in our focus, and that's what we want to deliver on short term. And then the 2030 ambition is kind of a next step. In terms of the balance sheet and being overcapitalized I think the way we view it is that the last two years, it's actually been quite helpful to have a strong balance sheet. Of course, this is something that we need to monitor, and we need to make sure that we maximize the returns to shareholders. But for now and looking back two years, it's actually been quite helpful.
Erik Golrang: Thank you.
Operator: Our next question comes from Sebastian Kuenne from RBC Capital. Please go ahead.
Sebastian Kuenne: Yes, hi gentlemen, I was wondering why no one else asked that question. But in my model, when I look at consensus and what you delivered in Q4, there seems to be a very big discrepancy between the adjusted EBIT and the reported EBIT. So I would add that it was a major miss reported EBIT, 15% beat consensus [ph]. And it looks like there's a SEK500 million gain somewhere on the group level that I can't really explain. Do I look at something wrong here? Did I get something wrong? Or did that overlook something? Could you maybe explain that open.
Niclas Rosenlew: Yes. Hi, Sebastian, So Niclas here. I'll answer that one. So we had an adjusted EBIT of SEK2.3 billion, and we had a reported EBIT of SEK2.6 billion, so roughly SEK300 million in delta there. And this delta is the IAC. And within IAC, we had both positives and negatives. We had continue our restructuring journey. So we had some restructuring costs there, primarily related to closedowns in Europe. And then we also had the sale of real estate and essentially was sale of our headquarters to a pension fund and that contributed with a positive give or take, SEK350 million to IAC. But again, SEK300 million is the delta, so SEK2.3 million versus SEK2.6 billion.
Sebastian Kuenne: Yes. But usually, the adjusted -- so usually, the discrepancy is like SEK500 million. So okay, that's something missing, but I will find out. Okay. The other question would be on the guidance, growth guidance for 2022, how much of this is volume? How much of this is price? And do you already include the fact that the Swedish krona gives you a tailwind of about 3% to 4% this year as of today, knowledge today. Thank you.
Niclas Rosenlew: Yes. So it's really organic sales that we are -- that we are accounting for here and FX is out of the equation.
Sebastian Kuenne: So how much is volume? Do you expect volume minus 10% price plus 25% or plus 20%? What is the assumption there?
Niclas Rosenlew: We don't really break down the outlook in that -- those details. But however, though, we do believe that we're going to see -- we see a strong demand, especially within our industrial business, still somewhat volatile within automotive. However, though on a may be on a positive trajectory. But all in all, we believe that we can deliver organic growth over somewhere around 5% to 10% for the full year. And we don't break that up, how much has come from price and how much is some underlying demand.
Sebastian Kuenne: Understood. My final question is on pricing for this year. By how much will you or do you plan to increase prices in automotive and in industrial. And is there a difference in the way you can price longer contracts and automotive for the contracts in industrial. So are you more flexible on either side? Thank you very much.
Niclas Rosenlew: Let me try to answer that and put this way. Of course, I will not disclose exactly the price ranges by a customer here at this call.
Sebastian Kuenne: But ballpark may be?
Niclas Rosenlew: But we are looking right? But we're looking into this in a very, very focused manner. We are -- on the large accounts, of course, we're going through them one by one and identifying our margin has evolved and bought actions we need to take. When it comes to aftermarket and the distribution business, we have already initiated general price increases that will continue in 2022. And our sales reps, they have also been equipped with specific targets, how they should -- what we expect them to deliver in their respective portfolios. And this goes across both automotive and our industrial business. So it's a comprehensive work that is being undertaken at the moment.
Sebastian Kuenne: Yes. But ballpark, are we talking 5% increase, 20% increase given what steel has been doing in the last year. What all of mechanisms you talking in terms of price increases?
Niclas Rosenlew: I mean Sebastian, I mean, overall, of course, we want to drive improved margins in combination with sales growth. And as you know, for the moment, the inflation is higher or putting pressure on the margins. So essentially, the target is to, from a financial perspective, offset the inflation. There is a delay. So the inflation runs has so far been running faster than our pricing actions. And why is that? A bit like back to your question. There's a number of different elements. I mean, we have with some customers, we have long-term contracts on the distribution side, it's quicker. And so you have the whole range of types of discussions and negotiations going on. As Rickard said, actions have been taken, but it's clear that we are going to take more action and increase prices. Exactly what percentage -- it really depends on the situation and type of customer we have.
Sebastian Kuenne: Okay, thank you very much.
Operator: The next question is from Lars Brorson at Barclays.
Lars Brorson: Hi, good morning, both. Maybe I could just stick to that question and follow-up on that prior question, sorry, and then return back to a question around the strategy update. Niclas, if I can be clear on price/mix, I take that to be about 350 basis points in the fourth quarter. That looks and feels quite similar to what we heard in Q3. Talk a little bit about, if you could, the like-for-like pricing momentum and maybe some thoughts on the first quarter around the offset from pricing on some of these inflationary pressures, if there was a SEK1 billion net price cost headwind in the fourth quarter, how should we think about the first? I'll start there. Thank you.
Niclas Rosenlew: Yes. I mean, you are correct. So SEK700 million roughly in price mix, where both price and mix were positive. And it's not an exact science, I mean how you categorize what's price and what's mix and that we kind of bucket into one. So, I think, a better view to look at the progress we are making. You are correct that the progress Q3 to Q4, I mean, it was positive, but if we had some SEK600 million in Q3, it was SEK700 million in Q4, rough numbers. So that's the area where we clearly need to step up and really take quite significant actually additional actions. And as Rickard said, those are in progress and will be initiated if they haven't already.
Lars Brorson: Are you able to help us with thoughts on the first quarter, if not then at a net level, perhaps at a gross level, that SEK1.7 billion. We don't know quite how that splits down, but how do you see the key components move in the first quarter versus fourth, please? Thank you.
Niclas Rosenlew: Yes. I mean we don't provide us such guidance on the SEK1.7 billion. I think roughly speaking, within the category of materials, 2/3 and logistics, maybe 1/3 roughly or 40-60, something like that, 60-40. As I said earlier, I mean it's a very dynamic world out there, but we have seen some leveling off here about leveling off at a high level. And then, of course, for comparison reasons, when we move into Q1, we already had some cost inflation, albeit much smaller in Q1 2021. So the absolute number will be affected by that. But we are aiming to -- and working on compensating the current cost inflation. We are quite confident that we'll do it, albeit at a delay and it will be a gradual step towards that now in the coming quarters.
Lars Brorson: Thank you, can I ask secondly, just Rickard to your strategy view there's a lot going on there. I think generally, some sensible ideas, quite honorable ambitions. I would probably categorize it as more incremental rather than transformational. But on the organizational structure, I think I'm still left a little bit confused on the industrial side. Maybe you can tell us how do you intend to report externally around the four industrial regions and the six BUs. I think, it seems to me to be a slightly greater focus, maybe back to the five technology platforms, we talked about prior to your predecessor. So some of the adjacencies to core bearings that I think were deemphasized the last few years, seems to be reemphasized, particularly seals and lubrication. Curious as to what your thoughts are specifically on those two in terms of the current state of affairs and SKF and whether they provide meaningful platforms for growth, particularly M&A growth.
Niclas Rosenlew: Good question. Starting with our reporting going forward. We're now setting this organizational change. We are developing these standalone or more internally standalone business units with full P&L and balance sheet. It's going to take us some time to actually calibrate everything to get this all in shape and reshape our internal procedures and processes. So, in the short-term, I think you should expect us to continue to report on Industrial and Automotive, as so is done today. And then, as we move forward, we might change that. But that is -- it's not in the makings for -- in the short-term, but definitely something that we will consider as we mature in this new model, how we're going to report externally. And it's true what you say about lubrication and seals and those other units within independent business units that we have. Of course, they will continue to support and drive capabilities and opportunities within our bearing businesses, of course, with our existing customers. But I'm not at all rolling out that they also can seek growth opportunities that may not, they just are related to the rotating shaft. They need to seek their growth opportunities and build their businesses to add to the value of the portfolio.
Lars Brorson: Understood. Thank you, both.
Operator: The next question comes from Christian Hinderaker from Liberum. Please go ahead.
Christian Hinderaker: Yes. Good morning, everyone. Christian Hinderaker, Liberum. Thank you for taking my questions. First one is in follow-up to the inventories. You mentioned that extended lead time is obviously a major driver and apologies if I missed this. But perhaps you can give us an indication as to how much of that build was strategic versus driven by market factors or perhaps in other words, distinguishing between your apps and decisions to shore up stock given those lead times versus perhaps the bottlenecks in ports leading to more time spent on ships and so on. And then my second question relates to the new strategy. I think, there's been a few questions on the milestones. I just wonder whether there's been strategic thinking behind setting that 2030 target versus, say, a three or five year target and wonder whether that was the result of the review or whether 2030 was always [indiscernible]. Thank you.
Niclas Rosenlew: I take the inventory one. And so, sorry, you were breaking up a bit. So do correct me if I missed your question. But if I understood it correctly, it was about strategic versus just a normal inventory build. So, do we put stuff into our warehouses in anticipation of future demand. I think it's - I don't have an exact number here actually, but maybe just more of a reflection here. I think a big part of the main chunk of the inventory build is really due to the logistics squeeze out in the world. And then also kind of a mismatch of components, where we might have the ring, but you don't have some other components of the complete bearing exactly at that time when you need it. So I would say that's the majority of the reason for the increase. Of course, we do kind of anticipate growth. And as we discussed earlier today, demand is actually very, very good and very, very strong. So, of course, that's part of it, but we do see the main driver for the elevated inventory levels being the demanding logistics situation and supply chain.
Rickard Gustafson: And to your question about the 2030 perspective, well, there's no - we looked upon it like this. We wanted to set a strategic direction for the company that could something to strive for over some period of time. We know that this shift is going to be a rather significant one. It's going to take time to really deliver on also those enabling capabilities that we described. So, therefore, we felt that we need to put a rather long-term perspective on this. However, though, as we already started, we also break some of it down into maybe shorter sprints like the investments and our regional footprint that I described today, where we give you some ideas on where we want to take this already by 2025. Internally, of course, we have more clarity and the breakdown how we see this going to evolve over the years. And as we play this out, as we move forward into this, I'm sure we will have reason to come back and maybe provide some more details and insight. But for now, this is the long-term direction that we're trying to articulate and describe to you and the rest of the market.
Christian Hinderaker: Understood. Thank you.
Operator: Our next question comes from Andreas Koski from BNP. Hi, Andreas. Please can you check if your line is not muted?
Andreas Koski: Yes. Sorry, no, I hope you can hear me. Good morning. I have three questions, please. Firstly, on your growth target of doubling the size until 2030, and as many have pointed out, it corresponds to 8% CAGR. Can you explain why you are keeping your growth target of 5% unchanged if that is because they are not aligned with each other.
Niclas Rosenlew: Fair question, Andreas, and here's my thinking on that one. We do have more - higher ambitions than what's now reflected in those growth targets. However, though, we just started this journey. We have embarked upon this journey. And quite honestly, we haven't yet delivered on those targets that were set out. And my personal way of managing things and how I want to react to things is I'd rather deliver on our promises before I alter my promises. So, once we have delivered on our actual financial targets set out there, we will come back and discuss revised targets, but let's deliver first before we alter them. But I hope it's clear that we have higher ambitions longer term than what is reflected in those.
Andreas Koski: Okay. But does that mean that we should not yet consider your comment about doubling in size until 2030 as a target for SKF.
Niclas Rosenlew: Not a target. That's why I used the word we're going to strive to.
Andreas Koski: Okay.
Niclas Rosenlew: The target is - the financial targets out there, we are - we're going to deliver on those. And once we have delivered on those targets, we will alter our future charges.
Andreas Koski: [Indiscernible].
Niclas Rosenlew: But let's deliver first, and then we'll change.
Andreas Koski: Understood. And then, on your CapEx guidance, you are now guiding for SEK5 billion in CapEx for 2022. Do you think that's a level we should have in mind also for the coming years beyond 2020, say, until 2025 or...
Niclas Rosenlew: Yes. So you are correct. I mean, we had SEK3.8 billion in 2021, and now step up to SEK5 billion what comes to the guidance. This is - we look back at our CapEx, and we have the SEK5 billion efficiency release coming out of the CapEx. We see that being quite successful and quite good. We are on that journey. We still have a lot to deliver. We actually think we can probably do more and better. Now in the next few years, I mean, a Rickard mentioned or described in the strategy presentation, we do see that it makes a lot of sense now to shift or build kind of capacity in those regions, where customer growth is high. And then, of course, we continue to improve in those regions, where we already have capacity. So the increased CapEx really reflects those - that's kind of regionalization ambition that Rickard described. And so, SEK5 billion, of course, if there's opportunities to get even more benefit, we'll look into those, but SEK5 billion is what we foresee for 2022.
Andreas Koski: Yes. I understand that you foresee that for 2022, but do you think that's the level we should also have in mind for 2023, 2024 and 2025, or should we expect it to come down after 2022?
Niclas Rosenlew: No. You shouldn't expect it to necessarily come down a bit. We don't provide a kind of an outlook year-on-year on CapEx, but we do see that this sort of level makes sense and it's not only a one-off 2022 things.
Andreas Koski: That's great. Thank you. And then, lastly, just coming back to cost inflation and the cost development. Could you just help us to better understand how - as it looks right now, the cost development should be in Q1 2022. And then, if we look further out for the full year 2022, is it likely that the cost development will normalize and be at a run rate of maybe SEK1 billion per year. That would be very helpful.
Rickard Gustafson: Maybe if I start and you can follow then. I wish we had a crystal ball to look into. Because what we have seen in 2021 is that, there has been a constant development [ph]. It started with raw material, followed then by logistics. And then at the end of the 2021, it was energies, energy prices looking into 2022. I think there will be also labor issues that we need to wrestle with as we move forward. So it's hard to give you any clarity on that. We foresee that it's going to be an environment with high cost inflation environment also as we now move into 2022. And that's why we are further stepping up our pricing and cost mitigating activities. But Niclas, maybe you want to provide some additional comments.
Niclas Rosenlew: I think that captured it, but let us know if we didn't answer properly.
Andreas Koski: [Indiscernible] number would be good for Q1. If you look at it - it's right now...
Niclas Rosenlew: Yes. I understand. It's - as we - I mean, formally, we don't provide an inflation number. And as Rickard said, in this environment, it's not particularly easy to double guess what the inflation will be going forward. Inflation, we see that it will continue on high levels. As I said, we see some stabilization on the raw material side, some stabilization on the logistics side. So, let's say, we assume that that's not getting worse. When will it get better? Let's see, depending on the situation out in the market with both, viruses and geopolitics and so on. And then, there's some other emerging themes related to inflation, as Rickard mentioned such as on the labor side and energy and so on. So, it's just very hard to give you a number, but…
Andreas Koski: I understand that.
Niclas Rosenlew: What we assume is that the inflation will be at a high level also going into Q1, Q2 as we see it now. And that, as Rickard mentioned, that's why we are taking further actions as well.
Andreas Koski: Okay. Thank you very much.
Patrik Stenberg: Yes. Thank you for all your questions over the phone. As we are coming towards the end of this event, I think we also need to cover some of the questions from the chat function. I think most of them have been covered so far. I would like to just post one here at least. And it's a question posted by Andy at JPMorgan, but also Bastiansen of Lundbeck Fandom [ph], and it relates to the savings that we communicated before, on the SEK5 billion that were communicated on the Capital Markets Day last year. How do they fit into the new strategy or are there any additional or changes to that coming on as well? And what is the current position on the SEK5 billion savings so far?
Niclas Rosenlew: Well, the SEK5 billion savings target remains, and we are not at all that we're not going to deliver on that. We are just as committed as was before to deliver on that. And there are a number of activities ongoing. And as of the fourth quarter of 2021, we have delivered roughly SEK1.3 billion out of the SEK5 billion and more work to be done.
Patrik Stenberg: Thank you. And with that, we conclude the Q&A session. And we all thank you very much for attending this event. So if we're [indiscernible] closing remarks by Rick or Perhaps.
Rickard Gustafson: Again, thank you so much for your attention today, this morning, following us. I appreciate all your insightful and energizing questions on our business. And we are excited about the future of this company, and we look forward now to embark on this journey and the strategic framework that we have named intelligent and clean growth. To be continued, and I'm sure we're going to have a chance to speak to each other within a reasonable timeframe. Thank you so much for the day, and have a good rest of the week.